Operator: Good morning. And welcome to IM Cannabis' Third Quarter 2023 Earnings Conference Call. Today's conference call is being recorded.  At this time, I would like to turn the conference call over to Anna Taranko, Director of Investor and Public Relations. Anna?
Anna Taranko: Good morning, and thank you, operator. Joining me today’s call are IM Cannabis, Chief Executive Officer, Oren Shuster; and Chief Financial Officer, Itay Vago. The earnings press release that accompanies this call is available on the Investor Relations section of our Web site at investors.imcannabis.com.  Today's call will include estimates and other forward-looking information and statements, including statements concerning future results of operations, economic conditions and anticipated courses of actions, and are based on assumptions, expectations, estimates and projections as of the date hereof. This information may involve known and unknown risks, uncertainties and other factors that may cause actual results to differ materially from those expressed or implied by such statements. Factors that could cause or contribute to such differences are described in detail in the company's most recent filings available on SEDAR+ at www.sedarplus.ca and EDGAR at www.sec.gov. Furthermore, certain non-IFRS measures will be referred to during this call and the term non-IFRS adjusted EBITDA loss will hereafter be referred to as adjusted EBITDA loss. Any estimates or forward-looking information or statements provided are accurate only as of the date of this call and the company undertakes no obligation to publicly update any forward-looking information or statements, or supply new information regarding the circumstances after this date of this call. Please also note that all references on this call reflect currency and Canadian dollars. With that, it is my pleasure to turn the call over to Oren Shuster, CEO of IM Cannabis. Oren please go ahead.
Oren Shuster: Thank you, Anna. Good morning, everyone, and thank you for joining us today. As a medical cannabis company headquartered in Israel, I would like to start off today by briefly touching on the Hamas massacre of Israelis. As I had mentioned in the press release on October 12th, there are no words to describe the scale of the horror and the impact it is having on each and every Israel. We are a small country and every single one of us is directly impacted, either personally or through our family and loved ones. IMC supports and stayed with all the Israelis that are affected by this war and we also fully support the Israeli Defense Forces. Medical cannabis is defined as a critical infrastructure sector in Israel, just like all other pharmaceutical businesses. I am very proud of the team, how they are coming together to work through this horrific situation. While the assumption is that medical cannabis consumption will increase in the long term as a result of the war, it is too early to try to predict with any certainty exactly what the impact of the war will be on the medical cannabis industry in Israel in the short term and how it'll impact the planned regulatory changes in the short term that were expected at the end of 2023. As I mentioned, during our last call in August, in June, the Health Committee of the Knesset, the Israeli Parliament, passed a resolution facilitating access to medical cannabis for patients with medical indications, including metastatic cancer, Parkinson's and gastrointestinal disease, such as Crohn's, with regular prescription. Pain and PTSD, the two of the three most prevalent indications, will continue to require a medical cannabis license. We believe the new legislation will have the ability to accelerate market growth in Israel. However, in the absence of any official governmental communication, we expect all new cannabis legalization will be put on hold for the near future because of the war. Also in August, the German government took the next step forward in its cannabis legalization proposal with the final reading of the legislation to be held in parliament during Q4. While the focus there is on nonprofit social clubs and home grow, medical cannabis is also expected to be rescheduled during Q1 2024. Medical cannabis will be moved from a tightly regulated narcotic to a simple prescription medication. This is a massive step forward for the medical cannabis industry as it will greatly facilitate patient by simplifying the prescription process for physicians and easing storage and transport regulations for both producers as well as pharmacies. The prescription cost for self payers will also be reduced narcotic prescription as a co-payment, which will no longer be applied under the new regulations. We anticipate that market growth will accelerate significantly as a result of the regulatory rescheduling. Before going into market details, as I've been doing for the last few quarters, I would like to give you an update on the transformation IMC has been going through since Q4 2022. We are singularly focused on reaching sustainable profitability, which is supported by two cornerstones we focused on in our last calls; first, the strategic shift to focus on meeting patients’ and pharmacists’ needs; second, rightsizing, restructuring to put the necessary resources behind the strategic shift. We need to be a lean and agile business, able to respond quickly to the changes within our dynamic market. For the last four quarters, we focused on restructuring as well as accelerating the path to profitability through active cost management and margin improvement in both the Israeli and Germany individually. When we take a look at results of the strategic shift, we can see that the revenue stays mostly stable even taking into the account the negative currency effect of the Israeli shekel, which has declined 19.6% since the beginning of the year versus the Canadian dollar. As expected, the cost of the revenue mules the revenue. This has not been easy. The majority of our supply comes from Canada where we pay in Canadian dollars. We have lost 1.5% of our gross margin since Q3 2022. If it were not for the negative currency effect, we would have had an 11.5% improvement in our gross margin instead of the 10% improvement we are reporting this quarter. Where we see the clear impact of the restructuring and active cost management since Q4 2022 is in the operating expenses where we have managed to further reduce cost by 34% since Q3 2022. But more importantly, in Q3, we kicked off a full integration project between Israel and Germany to further drive efficiencies in both of our markets, from supply to marketing and sales, we are sharing information and working together as one team. We believe that by combining our cannabis experience, we will be able to further our position within the cannabis market, especially in Germany. We clearly see that the German market development is mirroring the Israeli market development of the last few years. The average price per gram of medical cannabis for the patient has fallen from around €12 or CAD17 per gram in 2022 to under €10 or CAD15 per gram in 2023, an average of 20 new cannabis flowers launch per month, a number which we expect to continue increasing. There are currently over 350 medical cannabis flowers and over 155 different medical cannabis strains available on the German market. The market is rapidly saturating. This is exactly the development the Israeli market has been going through for the past two years, which is why we have a clear advantage in the German market. We are leveraging our proven Israeli strategy to drive results in the German market. Now I will give you an overview of both the Israeli and German markets before handing over to it Itay for the financials. In Israel, we made a cautious decision to focus on the premium and super premium segments over a year ago. By doing this, we created these two segments in Israel and are still by far the market leaders in premium and super premium medical cannabis. What drove this decision was twofold, premium pricing and better gross margins. Premium and super premium cannabis are not subjected to the same price pressure as mid range cannabis allowing us to achieve higher gross margins. When we segment our portfolio accordingly, we can clearly see the results. Our average selling price for our ultra premium brands this quarter is 25 shekels per gram or CAD9 per gram, the highest in the Israeli market. In Q3, we reinforced our position as number one in the premium market through the launch of two new Lot420 high THC strains, Gelato 33 and Xeno, as well as additional IMC product Chemchew. Overall, our business in Israel was influenced by three factors this quarter. First, we further streamlined our patient delivery service to improve cost. In Israel, until August, we delivered medical cannabis directly to patients. As a result of our active cost management, we have been working on -- for the last 3 quarters, we decided to outsource our delivery service to a third party. While this move will result in approximately 300,000 Canadians in savings per year we had a two month transition period during this quarter, doubling the delivery costs during this time. We also estimate that the transition period caused the short term interruption of sales. Second, currency fluctuations. As I mentioned earlier, the Israeli shekel fell significantly versus the Canadian dollar over the course of Q3, declining 2.6% in average versus Q2 with an overall decline of 19.6% since the beginning of the year. Because the majority of our sales are in shekels and we report in Canadian dollars, this had a significant impact on our Q3 revenue, leading directly to CAD900,000 or 6.4% decrease in revenue versus Q3 2022. Third, while our focus has been on growing the premium and super premium business, we have had to adjust our portfolio and inventory accordingly. We cleaned our first set of slow-moving stock in Q3 by reducing prices. While this helps drive incremental sales in volume, the lower prices impacted both our revenue and gross margin. The remainder of the slow-moving stock will be cleaned out in Q4. In Germany, we launched our first stream of high-THC strain leveraging the entire IMC Israel branding and collateral. By working closely with the Israeli team, we were able to ensure that this launch was our strongest launch in Germany so far. In addition, the team further [solidified] two new high THC strains that were launched in Q1 of this year. Taking a look at the overall results since we shifted our strategy, I'm convinced that it was the right decision. It has been a challenging journey but we are moving towards sustainable profitability. This will continue to be our focus as we move into Q4. In Q4 in Germany, we expect the final readings of the cannabis legalization to take place in the German parliament. We will also start to see the effect of the Israel-Hammas war as on the cannabis industry in Israel and on IM Cannabis as well. Since the start of the war in October, we have already seen an initial impact on our employees, suppliers, imports, sales and more. While it is too early to assess the extent of the impact, we anticipate a negative impact in Q4 2023 with a potential positive effect in the medium to long term.  I will now turn the call over to our Chief Financial Officer, Itay Vago, who will review our third quarter 2023 financial results. Itay?
Itay Vago: Thank you, Oren. I will now provide an overview of Q3 2023 financial results for the company's continuing operations. Revenues for the third quarter of 2023 were $12.4 million compared to $14.2 million in the third quarter of 2022, a decrease of 13%. Of this 13%, almost half 6.4% or $0.9 million of the decrease is coming from negative currency and fluctuations. Gross margin before fair value adjustments in the third quarter of 2023 was 22% compared to 20% in the third quarter of 2022, an increase of 10%. Adjusted EBITDA loss in the third quarter of 2023 was $1.3 million compared to an adjusted EBITDA loss of $3.7 million in the third quarter of 2022, a decrease of 65%. The decrease is mainly attributed to improved performance of the company's gross margin and general and administrative expenses, such as cost reduction, cost efficiencies and other corporate expenses reduction. Total operating expenses in the third quarter of 2023 were $4.9 million compared to $7.5 million in the third quarter of 2022, a decrease of 34%. Most of the decline can be attributed to the restructuring in Israel. Gross profit for the third quarter of 2023 was $2.6 million compared to $2 million in the third quarter of 2022, an increase of 30%. The increase attributed mainly to the increased higher margin sales of important premium cannabis products and reduction of cost of sales. Total dried flower sold in the third quarter of 2023 was approximately 2,558 kilograms with an average selling price of $4.35 per gram compared to approximately 1,453 kilograms in the third quarter of 2022 with an average selling price of $9.08 per gram. The decrease in average selling price was caused by increased competition within the retail segment and mid-range stock discounts. General and administrative expenses in Q3 2023 were $2.1 million compared to $4.3 million in Q3 2022, a decrease of 51%. The decrease in general and administrative expense is attributable mainly to salaries of the employees derived from the restructuring plan in Israel and presented separately in the interim financial statements for the third quarter. The main goal of the restructuring is to drive efficiencies and realize sustainable profitability. Selling and marketing expenses in Q3 2023 were $2.6 million compared to $2.8 million in Q3 2022, a decrease of 7%. Operating loss in the third quarter of 2023 was $2.3 million compared to $5.5 million in the third quarter of 2022, a decrease of 58%. Net loss from continuing operations in the third quarter of 2023 was $2.1 million compared to a net loss of $4.5 million in the third quarter of 2022, driven mostly by the higher gross margin and reduction in operating expenses and offset by finance income in the third quarter of 2022. Basic and diluted loss per share from continuing operations in the third quarter of 2023 was $0.16 compared to a loss of $0.06 per share in the third quarter of 2022. Cash and cash equivalents as of September 30, 2023 were $1.3 million compared to $2.4 million in December 31, 2022. Total assets as of September 30, 2023 were $52.4 million compared to $60.7 million in December 31, 2022, a decrease of 14%. The decrease is mainly attributed to cash and cash equivalents, inventory and due to effect of dollar rate increase of items denominated in Israeli shekels in the company's balance sheet. Total liabilities as of September 30, 2023 were $32.6 million compared to $36.9 million in December 31, 2022, a decrease of approximately 12%. The decrease was mainly due to a reduction in trade payables, increase in fair value of foreign devaluation and to the effect of dollar rate increase of items denominated in Israeli shekels in the company's balance sheet as well. The company is planning to finance its operations from its existing and future working capital resources as well as from its available credit facilities, and will continue to evaluate additional sources of capital and financing as needed. I would now like to turn the call back to Oren for closing remarks. Oren?
Oren Shuster: Thank you, Itay. While our revenue and gross margin were impacted by the negative currency effect,unfavorable exchange rates and the cleansing of the slow-moving stock in Q3, we increased volumes and can see clear progress towards our goal of sustainable profitability. We are in good position to take advantage of all the regulatory changes on the horizon for the medical cannabis industry in Germany, and we will see what the impact of the war will be on the Israeli cannabis industry and on IM Cannabis. With that, I hand the call over to the operator to begin our question-and-answer session. Operator?
Operator: Our first question is from Scott.
Scott Fortune: Thank you for the questions, and thoughts with you, your team and your employees and all those in Israel from us. Question, Oren is, as you navigate through this, can you kind of see kind of step through the supply chain a little bit? I know you mentioned the inventory, you're working through your inventory and you say that will be cleared out through the fourth quarter but going into '24, that should be clean. But just kind of a sense of the supply chain issues or are you having issues getting -- importing or bringing cannabis from Canada on the premium side? Just kind of step us through kind of how we should look at the supply chain here currently.
Oren Shuster: So what we see is that clearly, we speak about the impact of the war and what is happening. Consumption of cannabis hasn't gone down. People are consuming cannabis on the contrary. You see that people are consuming their amount faster than before the war. On the other hand, we have seen an impact on the logistics mainly, especially in the beginning. I think now everything is streamlined and we are back to well routine, I would say, and now the input is open and everything is working. But it took time for that to happen. And I think that we see a bit -- everything takes longer than it was before the world. But very quickly, I think that everybody is adjusting to the new pace. But we don't see any decline in consumption, I would say [Indiscernible].
Scott Fortune: Switching to Germany, are you seeing preorders necessarily or are you ramping up inventory kind of ahead of Germany? How should we look at this, obviously, coming off in narcotics opening up easier access to drive more demand and more growth in Germany? How should we be looking at kind of the cadence or the volume levels or the orders moving through 2024 here? Just kind of a little bit of a road ramp for opportunity for Germany, it would be great.
Oren Shuster: So we are taking into account an evolution of the market and not a revolution. We think that the market will grow and will grow significantly, but it won't be in one minute. It will take some time. It's very difficult to estimate that. But what we learned is that things are taking slower, okay? So we strongly believe in the market. We see that the market is growing constantly. We think that the changes will ease the access significantly once it [want] to be in narcotic then any pharmacy can have cannabis, you don't need to pay for that, you don't need a narcotic license, pharmacies are not going through special audits, it's easier to prescribe. So it's a significant change in the market and we are definitely getting ready for that, but in a very responsible way.
Scott Fortune: And last one, if I can include kind of just -- you've done a real good job of rightsizing, bringing down cost to the business you have in place here. Are there further cost controls, further cost savings that we can look forward moving forward or you’ve pretty much streamlined this kind of step us through kind of that opportunity to continue to build a sustainable profitable business moving forward here?
Oren Shuster: We are managing the costs all the time and we will continue to save wherever we can. I think that '24 will be -- the focus would be more on growth once the company is more stable, it will be a very responsible growth. And I think that the markets will definitely support that, both the Israeli market and the German market.
Operator: And our next question comes from Aaron.
Aaron Grey: Thanks for the questions, and just echo that start off, thoughts with you, your employees, families and hope all are safe during these times. So I just wanted to follow up a bit on what Scott mentioned in terms of the pricing impact you had as you got rid of some of the low mid-range stock. And just could you help kind of quantify maybe the impact that you saw both on the average sales price and gross margin in the quarter? Just to think -- how we should be thinking about the company on a normalized basis once we get through 4Q.
Oren Shuster: I will start and I will then ask Itay to [help] with the numbers. So what we've done is, like we said, we cleared all the inventory and slow-moving stock to focus more on the premium segment, which is going very well, and we don't see a price compression in this segment. And the focus is the right focus, okay, that we see in this segment. The decline in the gross margin, Itay, do you want to take lead on that.
Itay Vago: So in respect of quantifying, we are talking about approximately 100 kilos or a bit more of very specific strains that are part of the low and average segments. And we can say that the most impact -- the main impact was in Q3, no material following an impact on price decreases in the next quarters in respect of -- in this segment’s stock cleaning. As mentioned, the average price was reduced mainly due to the discounts to around $4.3 per gram. This is significantly -- significant reduction, but we expect this onetime effect will be offset in the next quarters.
Aaron Grey: Right after you have some more impact in 4Q and then it goes back to almost sounds like perfect. So just in terms of some of the change in regulations in Israel, right? So on the ones we have been looking towards these -- the change for patients to be able to access medical cannabis written by any doctor for some more specific one prior. So just in terms of what you're seeing in your prepared remarks, so is that still set to go in place next month, do you also refer to a first quarter 2024? So I just wanted to get clarity on that specific catalyst, if there's still things that need to be finalized there or where we stand with that?
Oren Shuster: We believe that there will be a delay because of the situation around Israel. We don't know yet anything officially. We don't know yet if there will be a delay and if there will be a delay, how long it will take. I do think that even if there will be a delay next year, there will be a change and there will be a significant change in the market, because the effects of the war is going to be very significant in this market, I have no doubt about that. How long it will take, it's still early to estimate that.
Aaron Grey: Last one frpm me. Turning to Germany where a lot of people have expectations for that market to increase pretty meaningfully. You talked about it already getting a lot more competitive, 20 new flowers launch per month. Do you feel like we're still in the early days of that saturation, which you seem to allude to, obviously, with the catalyst still coming next year with that change potentially? And how do you feel like the competitive landscape will eventually evolve? Having already seen in [Israel] world with that competition, some of the Canadian LPs and otherwise kind of backed away currently the market leaders in the German market today. So how do you feel like that competitive landscape will evolve as it gets -- continues to get saturated?
Oren Shuster: So I think that what we see in Germany is that the market is growing constantly and the growth in the patients is mainly in the self-payer segment, which is attributed to partially less medical, I would say it. So this is the segment that we see that is growing, it's growing constantly and that's before the change in the market. So I think that we will see only acceleration in the German market. And as I said, I believe that it will be an evolution, not a revolution in the short term. But we will see a constant increase in the number of patients. Regarding the competition, the market is competitive and we see that some of the competition is going out of the market because it's not a simple market as of now. So there might be more companies that will come into the competition. But I think that what we see in the German market is that it's a very specific and unique market and you have to be expert in this market and it's not a simple market. So I think that it would be very difficult for newcomers to succeed in the market and it will take them time. And the players that are in the market for a few years have a huge advantage in the German market. It's very similar to the Israeli market. And what we've seen in the Israeli market is that newcomers, like Canadians, they try to come to the market without understanding the fundamentals of the market and the business environment, it's not only the market it's also the players and how to work with them. We haven't seen any success of foreign players and I think that we will see it also in the German market.
Operator: Are there any further questions?
Oren Shuster: Okay. So thank you, operator. And thank you all for joining our call today. I look forward to speaking with you in the coming quarterly reports.
Operator: And we have another, no.
Oren Shuster: Okay. Thank you, everybody. See you in the next quarter inputs.
Operator: Thank you.